Operator: Good day and welcome to the First Quarter 2015 Earnings Release Conference Call for Jones Lang LaSalle Incorporated. Today's call is being recorded. Any statements made about future results and performance or about plans, expectations or objectives are forward-looking statements. Actual results and performance may differ from those included in the forward-looking statements as a result of factors discussed in the Company's Annual Reports on Form 10-K for the fiscal year ended December 31, 2014, and in other reports filed with the SEC. The Company disclaims any undertaking to publicly update or revise any forward-looking statements. A transcript of this call will be posted and available on the Company's website. A web audio replay will also be available for download. Information and the link can be found on the Company's website. At this time, I would like to turn the call over to Mr. Colin Dyer, Chief Executive Officer, for opening remarks. Please go ahead, sir.
Colin Dyer: Thank you, operator, and welcome to everyone joining this review of our results for the first quarter of 2015. I'm in London today and Christie Kelly, our CFO, is in Chicago. Christie will review our financial highlights in detail in a few minutes. But to summarize our results, we had a great first quarter, continuing to build on the momentum we gained throughout last year. We saw strong revenue growth across all service lines and geographies. In the U.S., for example, 13 of 16 markets recorded double-digit revenue increases, contributing to 25% overall revenue growth for the region. EMEA turned in 25% revenue growth in local currency, 8% in U.S. dollars. Asia Pacific also had a very good quarter, particularly in India where I was last week, and in Australia and Japan. LaSalle Investment Management continued to deliver outstanding performances to its investor clients and raised $2 million of equity commitments during the quarter. Our Corporate Solution segment continued its solid win performance, reflecting disciplined decisions about the opportunities we chose to pursue. These results continued the momentum of an equally fourth quarter 2014. Adjusted earnings per share for the two quarters combined increased 44% above the prior period. It is worth noting that our five-year compound annual growth rate is 14% in fee revenue and 21% in EBITDA. This is the result of our consistent, decade-long policy of capital and revenue investment to drive long-term growth and profitability. Our balance sheet remained strong and we increased our dividend to $0.27 per share. So there is good momentum across our business, with our people driving broad market share gains and producing a very good start to the year. Our results came in an environment of generally steady economic growth with global GDP expected to increase by 3.4% this year. There is a sense of calm confidence in most real estate markets worldwide with further upside anticipated in many of them during the year. The slides that we've posted in the Investor Relations section of jll.com summarize current market conditions. Slide two shows global capital markets continuing their five-year growth trend, increasing by 9% globally during the quarter to $155 billion. The strongest growth came in the Americas where U.S. capital market volumes increased 25%. Transaction volumes rose 7% in Asia-Pacific and 21% in local currencies in EMEA but were flat in U.S. dollar terms. Our investment sales revenue outperformed the market in all three regions. Deals continued to compress during the quarter with prime office at record lows, although the spreads remained healthy. Leasing markets were uneven in the first quarter with gross absorption down marginally by 4% in -- down marginally in total by 4%. Asia-Pacific turned positive, with leasing volumes up 5% on a year ago. The U.S. had an unexpectedly flat quarter, probably an anomaly. Volumes in Europe fell by 3% year-on-year due to weakness in Paris and Moscow which typically account for one-third of the region's activities. As with capital markets, our leasing revenue outperformed market volumes in all regions. The global office vacancy rates across 98 markets remained stable and rents on prime office across 24 markets grew 3%. So for details of our performance in this market environment, I'll turn the call over to Christie.
Christie Kelly: Thank you, Colin, and welcome to everyone on our call. I'm pleased to report record financial performance for the first quarter. We delivered double-digit fee revenue growth in local currency across our business segments. We also drove margin expansion in all segments of the business while continuing to invest for long-term profitable growth. And we see reflected in our results the benefits of investments in our platforms, including by way of our acquisitions, coupled with productivity initiatives that have continued to improve the quality and scope of our services for our clients while building the long-term value of our company. We finished the first quarter with consolidated fee revenue of $1 billion, up 25% over last year; and record adjusted earnings per share of $0.94, up more than double over last year despite a $0.07 negative impact due to currency translation. Adjusted operating income margin calculated on a fee revenue basis increased 280 basis points to 5.2% for the quarter. Adjusted EBITDA margin on a fee revenue basis also increased 280 basis points to 8.7% for the quarter. These increases in margin reflect many factors including the strength of our diverse global platform, significant recurring profitable revenue and the productivity focus of our people. These results also reflect our investment discipline including the contributions of our transaction professionals in whom we have invested through M&A activity and strategic hiring over the last several years. Additionally, LaSalle has continued to deliver for its investors in turn generating incentive fees and equity earnings from transaction activities within fund life cycles. Consistent with the approach we have outlined previously, we remain focused on balancing top line growth, platform investments and productivity to achieve incremental margin and earnings per share growth. With the support of our longstanding relationship banking group, we also bolstered our strong investment grade financial position and flexibility with a commitment increase to $2 billion and extension of our credit facility to 20/20 in alignment with our strategic plan. Our 25% consolidated fee revenue growth on a local currency basis was broad based across geographic and services segments. Our revenue increase of 64% in capital markets and hotels and 17% in leasing demonstrate our ability to serve both investors and occupiers in steadily improving markets as transaction momentum continues to be supported by increasing cross border capital allocations to real estate, low interest rates and corporate occupier demand. We also continue to grow our annuity real estate services businesses such as property and facility management where fee revenue was up 12% compared to last year primarily as a result of securing new mandates and expansions over the last 12 months. The south further strengthened its base of incentive fees as certain of its funds approached the end of their life cycles ending the quarter with $55.3 billion in assets under management. During the first quarter we continued to selectively increase revenue-generating hires in capital markets and leasing executed through both hiring and acquisitions. We also increased revenue per producer compared to the first quarter of 2014. In alignment with our strategic plan and our investment discipline, we completed business acquisitions in Japan and Sweden during the quarter while we continued to assess and build our pipeline of M&A opportunity. Transaction pipelines across our business also remain strong as we look to the remainder of 2015. We will begin our look at segment specific results starting with the Americas where fee revenue across the region grew $95 million or 25% in local currency over the first quarter of 2014. Leasing was up 23% for the quarter, which was particularly strong given the increase was achieved despite declining growth absorption and the overall market during the period. The rest of the Americas platform also made meaningful contributions to growth in the first quarter with capital markets and hotels up 83%. Our U.S. Capital and Hotels business in particular is benefiting from the strategic decisions made at the end of the global financial crisis to recruit, develop, and retain top talent for this business to growth market share. Property and Facility Management was up 10% and Project and Development Services was up 21% from new client wins as well as expanded projects with long-time clients. Operating income in the Americas grew to $35 million for the quarter up from $17 million a year ago and operating income margin improved by 290 basis points to 7.1% on a fee-revenue basis. We achieved these results with double-digit growth in the majority of our markets. We continue to invest in future growth for the Americas while also focusing on topline productivity and cost discipline to drive long-term performance. In EMEA, fee revenue across the region grew $19 million or 25% in local currency over the first quarter of 2014. EMEA's fee revenue performance during the quarter was significantly higher in local currency than in U.S. dollars when compared with 2014 as the U.S. dollar strengthened over the last 12 months primarily versus the euro. We expect currency fluctuations to continue to impact our U.S. dollar performance through the remainder of 2015 though the impact of currency fluctuations on operating income, EBITDA, and margins are moderated because revenue and expenses are generally incurred in the same currencies. Capital Markets and Hotels revenue was up 59% in local currency for the quarter reinforcing our leading market share and our reputation in EMEA real estate capital markets with strong growth demonstrated in the U.K., France, Spain and Sweden. Property and Facility management revenue was up 14% for the quarter, and Project and Development Services fee revenue was up 27%, the result of international mandates from European multinationals and expansion of our Tetris fit-out business. Overall performance was strong throughout the region, driven by the U.K., Germany and France, but also from Spain, Central and Eastern Europe, and MENA. Operating income in the margin increased 40% over the first quarter of 2014. Operating income margin improved by 100 basis points from the first quarter of last year, primarily from capital markets performance and our focus on driving operating efficiency and productivity as we continued to leverage our shared services operation and technology enhancements. Our outlook for EMEA business remains positive as we capitalize on our market position, invest in our people and platforms, and seek M&A opportunities to supplement profitable long-term growth. In Asia-Pacific, fee revenue across the region grew $15 million or 16% in local currency over the first quarter of 2014, though muted by currency fluctuations when presented in U.S. dollars. Asia-Pacific's capital markets and hotels revenue was up 38% in local currency for the quarter, outperforming market volumes in the period. Property and Facility Management revenue was up 13% for the quarter with demand for these services continuing to grow steadily, with increases in both the quality of property inventory and the propensity of Asian companies to outsource. Geographically, Japan performed well with low interest rates driving capital markets activity while Australia and India took advantage of improving business environments. Operating income grew to $4 million for the quarter, up from $1 million a year ago, and operating income margin improved by 170 basis points to 2.4% on a fee revenue basis. The outlook for the year in our Asia-Pacific business remains positive, given improving market sentiment and our focus on investment for future growth and productivity. LaSalle had a strong start to the year, delivering an operating revenue increase of 45% for the quarter, primarily from incentive fee performance, but also including increases in advisory fees, up 17% in the quarter. LaSalle continued to focus on productivity as it generated a year-over-year increase of 14% in assets under management per employee. Further, as Colin mentioned, LaSalle raised $2 billion of new capital in the first quarter. Assets under management grew by $1.7 billion during the quarter to $55.3 billion. LaSalle's incentive fees of $19 million in the first quarter were driven by funds in Asia-Pacific and the U.S. that took advantage of the strong capital markets environment. As the mature funds generating strong incentive fees near the end of their fund lives, we expect equity earnings and incentive fees to return to normalized levels with remaining significant incentive fees from these funds likely to materialize in the second half of 2015. With respect to our balance sheet and the strength of our financial position, total net debt was $546 million at the end of the quarter, a reduction of $185 million or 25% from the first quarter of 2014, while we also continued to invest in the business. We benefitted from the lower pricing on our credit facilities with $6 million in interest expense in the quarter constituting a 9% reduction from the first quarter of 2014. In addition, we announce a semi-annual dividend of $0.27 per share, which is an 8% increase from the December 2014 dividend and reflects our confidence in cash generation and profitable long term growth on behalf of our shareholders. To sum it up, we had an excellent first quarter to start 2015. While the momentum created from 2014 has continued into 2015, it's worth noting that our second quarter of 2014 adjusted earnings per share performance was nearly 50% better than our second quarter performance over the last few years. Additionally, we could see roughly a 5% negative currency translation impact compared with 2014 if the strength of the U.S. dollar continues. As we look forward, out pipelines are strong and outlook remains positive. Before turning the call back over to Colin, I would like to express my sincere appreciation to our people around the world for their values, collaboration and focus on delivering our performance today and for the long term on behalf of our clients and investors. A big thank you again to all my JLL colleagues. I will now turn the call back over the Colin.
Colin Dyer: Thanks, Christie. Turning then to recent business wins, Slide 3 in our deck shows a sample across service lines and geographies. In our Corporate Solutions business, we signed 18 new assignments during the quarter, expanded our relationship with six current clients, and renewed a further six contracts. These 30 wins totaled nearly 50 million square feet across all three geographical regions. In addition to a 4.4 million square foot multi-regional win from Westinghouse Electric, new clients, who wish to remain confidential, include major healthcare, consulting, high tech, entertainment, finance and consumer products companies. Our integrated project services business which serves corporates who purchase real estate services locally grew further with 13 assignments and 36 million square feet. Turning to investment sales transactions, we represented Blackstone in the $1 billion sale of a U.S. hotel portfolio. In the largest single-asset real estate deal in Finland's history, we advised developer SRV on a joint venture to develop the $480 million REDI mall. And in Tokyo, we advised on a sale of the five assets of the Hotel B Portfolio to the Japan hotel REIT. First quarter highlights in other service lines included securing a 320,000 square foot headquarters lease for The Capital Group Companies in downtown Los Angeles, a 320,000 square foot lease for Daimler-Benz near Stuttgart. In Bangalore, we recently completed a 2 million square foot lease for Flipkart, India's equivalent to Amazon, and that was for build-to-suit headquarters office. And in China, our valuation contract of 17 properties and 17 million square feet was completed for Alibaba. As I mentioned in my opening remarks, LaSalle Investment Management continued to perform strongly throughout the first quarter in a healthy operating and capital raising [ph] environment. In addition to its $2 billion capital raise which included a significant commitment from a major Chinese investor, LaSalle accrued substantial incentive fees and equity earnings during the quarter as Christie explained. As Christie also mentioned, we continue to invest in growth through two targeted acquisitions. We acquired Stockholm-based Nextport, a tenant representation and relocation management specialist. This extends our clear leadership position in Sweden following last year's acquisitions of investor services firm Tenzing. And in Japan we acquired a 70% position in Tansei Mall Management, a leading retail property management company. Tansei's local experience will strengthen our position in Japan's retail sector. As with all potential acquisitions we evaluated both firms' finances, operating risk, integration risk, strategic and cultural and client fit before completing the transactions, and we remain disciplined on pricing. Looking to the rest of 2015, Slide 2 shows our research teams projections for investment sales and leasing. They show solid demand for direct investment continuing through 2015 with full-year volumes up 5%, $750 billion globally. We expect gross leasing volumes to moderately higher than 2014 levels, showing up to 5% growth, with Asia Pacific up 15%, the U.S. showing moderate growth, and Europe flat. We see notable shift in the composition of demand as corporates focus now on expanding activities rather than right-sizing their portfolios. The result will be a 20% increase in global [inaudible] absorption. In funds management, we see sustained strong capital flows and deal velocity as low interest rates and low inflation attract global investors. Appetite for risk is increasing as investors seek yield in value-add and opportunistic plays. Strong performers like LaSalle are going to continue to attract investment capital in this healthy environment. Our own outlook remains positive for the year. Our first quarter performance puts us in a strong competitive position with healthy pipelines and good momentum. The strength in our balance sheet supports our focus on long term growth through continuous investments in our global platform and in improvements to the range and quality of services we provide to clients. So, before Christie and I open the call for your questions, I'd like to finish by mentioning a few of the awards we've earned from the industry groups and independent third parties this year. They illustrate our positioning as industry leader in real estate services and investment management and reflect our values -- core values of client service, teamwork, and integrity. Real Capital Analytics named JLL the Number 1 Real Estate Investment Advisory Team in both EMEA and in Asia Pacific for the fourth consecutive year. We've been selected as One of the World's Most Ethical Companies by the Ethisphere Institute for the eighth straight year. Fortune Magazine named us One of the World's Most Admired Companies. And for the seventh consecutive year we were chosen for Global Outsourcing 100 list by the International Association of Outsourcing Professionals. And finally, we were selected as One of 2015's Top 100 Corporate Citizens by CR Magazine, earning the 20th position on a list of prominent multinational corporates. So with that review of the quarter, we'll now take your questions. Operator, could you please explain the procedure?
Operator: Thank you. [Operator Instructions] Our first question is from David Gold of Sidoti. Your line is open.
David Gold - Sidoti & Co.: Hi. Good morning. A little bit of follow-up, particularly as we look at the capital markets and hotels business performance, particularly domestically, was outstanding. Can you give us a little bit of insight? I mean for the quarter we saw 82% year-to-year growth. Your annual forecast though is 20-ish percent as we look at the Americas. And I know there was some comment there on market share and hiring. But can you bridge for that us a little bit? Are we expecting deceleration? And then as to the 82%, say, versus the annual forecast, give a sense if you can for how much of -- if there's anything outstanding in that 82% as far as large fees or is it more a function of the hires working out?
Colin Dyer: Well, David, we thought -- I thought maybe it was still over from Q4 last year, and that was not the case because we had strong Q4s in both the Americas and Europe. There was probably some spillover in the Asia Pacific numbers. But as relates to the Americas, there is something of a disconnect between our actual performance in Q1, which was outstanding, in a relatively soft quarter. You've got to remember that a few big deals can move the numbers in the first quarter, which is our slowest quarter in a seasonal business. But our forecast is taking a slightly more sanguine view of the year as a whole. As to the overall market sentiment in the Americas, it's solid, it's not over-exuberant, but we're seeing a lot of capital both domestic and particularly international trying to get into assets. And as we mentioned, the result is that investors are moving out along the risk curve somewhat into big cities, tier 2 cities, tier 2 properties, to find deals as well as a little extra return.
David Gold - Sidoti & Co.: Got you. So as it pertains though to market share versus, you know, essentially that outperformance, as we think about that market share --
Colin Dyer: We've been pushing, as we've said continuously on the call and as Christie mentioned specifically, we've been adding professionals in our capital markets business consistently over the last five years. And this is the result of that historical growth. We think -- we've estimated -- our own internal estimate is that two-thirds of the growth came from people who are -- who've been in the business more than a year, one-third from more recent hires. But it's market share growth, it's what we've been investing for. It's pleasing to see it come through.
David Gold - Sidoti & Co.: Perfect. Perfect. And then, Christie, can you speak a little bit about, you know, we talked about incentive fees and equity earnings, again healthy performance first quarter, presumably there were some decent sales in there. But I think if we go back a little bit, go to the fourth quarter call, and the thinking was that we were going to taper pretty dramatically from last year. Any update on the thinking there? It sounds like you're expecting some fees in the second half of the year as well, sizable?
Christie Kelly: Yeah, I think, David, that we are expecting, if things continue towards the end of this year, to see some sizeable performance in terms of incentive fees and equity earnings, as we said during the fourth quarter last year. We're thinking that it'll be in that $40 million to $50 million range as we said. Maybe a bit more if funds accelerate some of their disposition activity. So overall solid performance. LaSalle is delivering what they should be doing for investors, and even to the point of again accumulating and performing in that top quartile performance level. So, great results.
David Gold - Sidoti & Co.: Is that 40 to 50 for the second half of the year, or that's 40 to 50 for the year including the first quarter performance?
Christie Kelly: In aggregate.
David Gold - Sidoti & Co.: In aggregate. Got you. Got you.
Colin Dyer: Obviously it's particularly hard to estimate is that the actual sales transactions are coming through consistently about 10% above the expected deal size, the expected target pricing. And so the incentive fees are coming through more strongly even though LaSalle estimating, you know, even a quarter before they come through.
David Gold - Sidoti & Co.: Got you. Got you. Okay. And one last, Colin, also if we go back a quarter or so ago, you commented a little bit on, you know, seeing long legs for the market and presumably it could be another three or so years left of the cycle. Curious if any, you know, looking at the first quarter numbers and what you're saying for the year, any update on that thinking?
Colin Dyer: No. I think it's consistent this quarter and pretty much the same comments. The environment, the global growth environment is sustained at this 3.4% level. There are no, at this point, apparent clouds on the horizon to cause us to think that number will drop anytime soon. There's significant corporate confidence coming through now led by the Americas, but you can see it in Europe too and indeed in Asia as Asia comes to terms with slow level of Chinese growth but growth nevertheless. The capital markets are strong with adequate, even plentiful equity available across all asset types across all geographies. The debt markets are fully functioning. Debt's freely available. Spreads are very fine. So the costing of debt is very attractive. Our underwriting remains, in all countries, pretty well -- pretty conservative. So, add it all up and it's a very positive environment with no signs of anything that will disrupt it at this time. And so I'd say that at least two and maybe three-year horizon we'll see the impact [ph].
David Gold - Sidoti & Co.: Perfect. That's helpful. Thank you both.
Christie Kelly: Thanks, David.
Operator: Thank you. Our next question is from Brad Burke from Goldman Sachs. Your line is open.
Brad Burke - Goldman Sachs: Hey. Good morning guys. Congratulations on the quarter. I wanted to ask a little bit --
Christie Kelly: Thanks, Brad.
Brad Burke - Goldman Sachs: Hey, Christie. I want to ask a little bit longer-term question and get your views on the sustainability of the growth that you're seeing Corporate Solutions. Obviously it's been very strong over the last few years. How are you thinking about it over the next few years? And maybe again remind us of the height of the barriers to entry for these business, because we're obviously hearing a lot more about consolidation and real estate outsourcing.
Colin Dyer: It is indeed -- it has indeed continued to be a very attractive growth market. We're bidding on something like 60% of the RFPs we receive globally. We are -- our success rate on the bids we do engage in is something like 65%, so we have a good performance in the RFP bidding process. We are seeing, as far as developments are concerned, we're seeing the solid growth in the U.S. markets continuing. But we're seeing a lot more momentum in Europe than we had seen, let's say, over the period up to 2002. And I think it's the result of focus [ph] in Europe, picking up the productivity through outsourcing trend which did for the first time [ph] through the ravages of the great financial crisis. But Europe now is also engaged more and more fully in this outsourcing trend. In particular, the three major economies of Germany, France and the U.K. And Asia continues for us a solid performer. So, long-term growth is there, the margins [inaudible] to productivity agendas, the margins remain good. But you do have to pay attention to productivity because there is over the long term inevitably a level of pressure coming from competition.
Christie Kelly: And I think that, too, the only thing that I -- the only thing that I would add to that is that, as we look over the long term, I think in our performance we'd be pretty disappointed if we didn't see double-digit growth there.
Brad Burke - Goldman Sachs: Okay. So, none of the developments that we've seen over the last 6, 12 months in terms of pretty aggressive consolidation in outsourcing would change your view on the growth outlook or JLL's competitive position within that growth potential within the industry?
Colin Dyer: Nothing at all. In fact, in terms of major competitors in the integrated space, we just went down from three to two. That gives us a slightly better percentage shot in most deals.
Brad Burke - Goldman Sachs: Okay. I appreciate it. And then a second question on capital structure. Just wanted to get your general thoughts about leverage and the use of cash. On our estimates, if this year shapes up like last year, you could be negative net debt by the end of the year. And your largest competitor has come out and said they're comfortable hitting about 1.7 times EBITDA, debt to EBITDA, by the end of 2015. And it just seems like a pretty big disconnect. So I wanted to get an update on how you're thinking about leverage, what you think is appropriate at this point of the cycle, and what you think is appropriate for your business in general.
Christie Kelly: We've been managing the business to have low leverage, Brad, and we're very comfortable with where we are right now. Just as a reminder, our business is pretty cyclical, point number one. Point number two, we have a strong M&A pipeline together with investments that we're making in the business. And from a capital allocation percentage perspective, we've been putting $0.55 of every dollar into M&A. We've done it consistently. And it's been really fueling our growth over the long term. And then another $0.30, $0.35 into investments in technology, which again is boding well to really drive productivity enhancements and smart tools, business intelligence and the like in our business. So we don't expect to change that. And further, we're saving dry powder for opportunities as we see them while sticking to our tried and true investment discipline from an M&A perspective. So we're good with where we are.
Brad Burke - Goldman Sachs: And I shouldn't view the expansion of the credit facility as an indication that you might be inclined to increase your leverage in the near term?
Christie Kelly: It's smart corporate finance. We took advantage of the market and we took advantage of the fact that we had been upgraded by S&P, got exceptional pricing, added three new banks to our relationship banking group. And then further to that, expanded our line and alignment with out 2020 plans. We're about growth. We're about profitable growth. And so we took advantage of the opportunity to expand and work with our relationship banks in a very productive manner. So to answer your question, we run our ship well from an investment grade perspective. We protect our balance sheet. And to the extent that we are operating, we will operate with, you know, under two times leverage as an overall strategic goal.
Brad Burke - Goldman Sachs: Okay. And then just the last one from me, just on the quarter, the real estate services margins were up a couple hundred basis points year-over-year, and I realized the comp in Q1 last year was pretty relatively easy and you also had a good quarter this time for capital markets which can be choppy. So I was just trying to think with all of those puts and takes, how should we think about your margins running this year versus last year? And to the extent that you're seeing a fundamental increase, how sustainable do you think that improvement is over the balance of this year?
Christie Kelly: We're focused on driving profitability for the long term, Brad, together with investments that we're making in our platform. We've been doing that for well over a decade in alignment with Colin's leadership. And as we look forward, you know this quarter we drove 21% incremental margin and we're very happy with that performance, and we're focused on driving that going forward.
Brad Burke - Goldman Sachs: Okay. I appreciate it.
Operator: Thank you. Our next question is from David Ridley-Lane of Bank of America Merrill Lynch. The line is open.
David Ridley-Lane - Bank of America Merrill Lynch: Sure. So, another solid quarter of above-market growth in leasing, JLL up 14% on U.S. dollars, the market down 4%. Can you break out sort of the components of that outperformance, broker headcount, maybe getting some [inaudible] from growth that you're seeing in outsourcing clients, productivity gains, anything else?
Colin Dyer: All of the above. Look, it's -- as we talked about the level of confidence amongst the corporates globally, I think if you go back to the period just after the crisis, when everyone was in cost cutting mode, and that period lasted about two to three years. Then we had a couple of years of consolidation where corporates were trying to drive productivity, not just cut costs, and so there was a different mindset coming through on that. What we're now seeing is company's much more inclined to invest for growth and building their top lines. And so we have this ongoing portfolio rearrangement process still in place, but in addition to that, you've got companies of all sizes now across all geographies increasingly prepared to go out and take more space with growth in mind. If you add to that the fact that in some critical markets around the world, so, London's one, Tokyo is another, the Chinese cities are a third set of examples, you've got a situation where the development pipeline has been relatively constrained. And so you there beginning to see, as we look forward, a situation where there could be supply constraints. And so there's a level of enhanced activity amongst the corporates to get space now while pricing is relatively attractive, space is available, and they're not in a cycle where the landlords have control of the markets. So put all that together, I think that's reason we're seeing this healthy uptick in leasing. It's not an anomaly, it's not one quarter. We think it's part of a sustained process of building through the cycle.
David Ridley-Lane - Bank of America Merrill Lynch: Okay, great. And then you went silent a bit on -- in the script on the explanation for the weaker U.S. leasing market and trend in the first quarter. Could you just give us a little color on that?
Colin Dyer: The leasing revenue on our part was pretty healthy in the Americas.
David Ridley-Lane - Bank of America Merrill Lynch: This was the leasing for the market U.S. only down 6% in the quarter.
Colin Dyer: Yeah. I wouldn't read too much into that. I mean our forecast for the full year in leasing for the Americas are up 5%, so that minus 6% in Q1, we're expecting a gross absorption. It's what drives our [ph] activity levels. We're expecting that to be up to a 5% growth over the full year, so it's an anomalous first quarter, as I said. Anomaly was the word we used.
David Ridley-Lane - Bank of America Merrill Lynch: Got it. Okay. Perfect. Thank you very much.
Christie Kelly: Thanks, David.
Operator: Thank you. Our final question is from Michael Muller of JPMorgan. Your line is open.
Michael Muller - JPMorgan: Thanks. Hi. Colin, you mentioned acquisitions before. I was wondering if you can talk a little bit about investment CapEx spending and how you see that trending over the next few years.
Colin Dyer: Well, in terms of the regular internal investments, they're likely to trend upwards. We've been putting, as we've said, consistently more money into technology in particular. That's across the spectrum of infrastructures, systems, hardware, data and analytics. And that's a deliberate and aggressive internal strategy. So, expect that number to go up. We're relatively controlled and cautious on investment in new offices. Our footprint is pretty comprehensive globally. So we will be driving the footprint to absorb a lot of investment capital. And the third major area will be capital expense. We'll accelerate capital use in the M&A sphere. We mentioned a couple already in the first quarter, relatively small ones. Christie also mentioned we have a healthy pipeline of opportunities of all sizes which we are pursuing. So, expect that number to trend upwards as well.
Michael Muller - JPMorgan: Okay. And what was that number as a point of reference in 2014, the M&A spending?
Christie Kelly: It was $85 million, Michael.
Michael Muller - JPMorgan: Okay. Thank you.
Christie Kelly: You're welcome.
Operator: Thank you. We have a follow-up from Brad Burke of Goldman Sachs. Your line is open.
Brad Burke - Goldman Sachs: Okay. Thank you. Christie, I had a question on your comment on the FX headwinds going forward. I think you'd said you're expecting about a 5% year-over-year headwind for the second quarter. And I'm interested to know --
Christie Kelly: Sorry, Brad. I just want to jump in there. I don't mean to interrupt you, but it's 5% for the year.
Brad Burke - Goldman Sachs: Okay. So 5% for the year.
Christie Kelly: Yes. Looking -- and you can sort of gauge that based on last year's performance.
Brad Burke - Goldman Sachs: Okay. So this quarter it was 7%, you know, next quarter, I think that the comps just on an FX basis probably get a little bit easier, but simultaneously the component and contribution from EMEA and Asia Pac also increases. So, is there a way to think about sequentially how that would play out?
Christie Kelly: I think you can think about it that the comps get easier in the fourth quarter, Brad, because of the phasing of our business and the movement of currencies that were primarily driven during the fourth quarter. So when we take a look at the mix, you can see that building through to the fourth quarter.
Brad Burke - Goldman Sachs: Okay. And I think the last quarter you had spoken about the total 2015 headwinds being about 5%, and this quarter that sounds like it's the same, and I think that over that three-month period the currencies haven't moved in your favor. Is there anything that would maybe be driving the flag guidance on FX headwinds?
Christie Kelly: No. Just for a point of reference so folks know what's going on in terms of the mix of business on the euro versus the U.S. dollar. So, simple as that.
Brad Burke - Goldman Sachs: Okay. I appreciate it guys. Thank you very much.
Christie Kelly: Okay, Brad.
Operator: Thank you. There are no further questions at this time. I'd like to turn the conference over to Colin Dyer for any closing remarks.
Operator: Mr. Dyer?
Christie Kelly: Thank you, operator. We're having an issue with our London office so I'm just going to take over here on this section for Colin. So with no further questions we'll end today's call. Thank you for participating and for your continued interest in JLL. Colin and I look forward to talking again following the second quarter. Goodbye everybody, and have a great rest of the day.
Operator: Ladies and gentlemen, thank you for your participation in today's conference. This concludes the program. You may now disconnect. Have a wonderful day.